Operator: Good morning, my name is Julian, and I will be your conference operator today. At this time, I would like to welcome everyone to the conference call. [Operator Instructions] Thank you. Karen Fletcher, Vice President of Investor Relations, you may begin your conference.
Karen Fletcher: Okay. Thank you, Julianne. Good morning and welcome to ITW's Fourth Quarter 2020 Conference Call. I'm joined by our Chairman and CEO, Scott Santi; and Senior Vice President and CFO, Michael Larsen. During today's call, we'll discuss ITW's fourth quarter and full-year 2020 financial results and provide guidance for full-year 2021. Slide 2 is a reminder that this presentation contains forward-looking statements. We refer you to the Company's 2019 Form 10-K and subsequent reports filed with the SEC for more detail about important risks that could cause actual results to differ materially from our expectations, including the ongoing effects of the COVID-19 pandemic on our businesses. This presentation uses certain non-GAAP measures and a reconciliation of those measures to the most directly comparable GAAP measures is contained in the press release. Please turn to Slide 3, and it's now my pleasure to turn the call over to our Chairman and CEO, Scott Santi.
Scott Santi: Thank you, Karen. Good morning, everyone. The ITW team closed out 2020 with another quarter of strong operational execution and financial performance. From my perspective, the highlights are the Q4 revenues got back to year-ago levels despite food equipment being down 17% and net operating income, operating margin and after-tax ROIC were all Q4 records for the company. It was a pretty solid finish to the year that needless to say, provided some unique and unprecedented circumstances and challenges, and indicates good momentum as we head into 2021. While it was the challenges brought about by the pandemic that dominated our attention in 2020, it was the collection of capabilities and competitive advantages that we have built and honed over the past eight years through the execution of our enterprise strategy that provided us with the options to respond to them as we did. Early on as the pandemic unfolded, we refocused the entire company on only two core imperatives. A, to protect the health, safety and well-being of our people, and B, to continue to serve our customers with excellence. And in my view, we executed extremely well on both. Our manufacturing, operations and customer service teams around the world deserve special recognition for their extraordinary efforts and leadership in support of these two key pandemic priorities. Their dedication and commitment to keeping themselves and their colleagues safe while continuing to deliver excellent service to our customers was truly inspiring and there is no question that we differentiate ourselves with many of our key customers, as a result of our ability to sustain our normal rock-solid quality and delivery performance throughout 2020 as a result of their efforts. We also did our best to take full advantage of ITW's position of strength as we've thought through, how we should manage the company through the pandemic. Back in the spring, as we analyzed and stress-tested the Company's performance across a wide range of scenarios, it became clear that the financial and competitive strengths that we had built up over the past eight years have resulted in a very strong and very resilient company. And as a result, we didn't have to just pull out our old recession playbook and hunker down. And for ITW, this was a unique opportunity to react smartly and to stay focused on the long-term. This conclusion led to two key decisions that we made regarding how we're going to manage ITW through the pandemic crisis. First, we chose to leverage the strong financial foundation that we've built over the last eight years to reinforce our commitment to our people. First, by providing full compensation and benefits support to all ITW colleagues through the entirety of Q2 when the economic effects of the pandemic were at their most widespread and severe. And by deciding that we would not initiate any enterprise-wide employment reduction mandates or programs at any point in 2020. These were not obvious or easy decisions given the unprecedented and uncertain circumstances but we believe that they were the right decisions for our company. And I know that our people will remember them. These decisions also turned out to be the right ones for us operationally, given the pace of demand recovery that we saw beginning in Q3. Second, we chose to leverage our position of strength by implementing our Win the Recovery agenda and mindset across the Company. Win the Recovery was not an opportunistic new strategy. What it was and is a commitment to staying the course and continuing to prioritize the execution of our long-term enterprise strategy despite the unique and unprecedented challenges brought about by the global pandemic. Win the Recovery for us did not mean ignore the pandemic. As across the company, we had to read and react to the realities of the near-term situation as we always do but it does mean that we are committed to protecting key investment supporting the execution of our long-term strategy and that we have from very early on, given our divisional leadership teams to mandate to continue to think long-term and to remain aggressive through the pandemic. For 2021, our Win the Recovery posture and mindset continues on and serves as the central theme driving the 2021operating plans for every one of our 83 divisions. Before I turn the call over to Michael for more detail on our Q4 performance and our 2021 guidance, let me close by thanking all of our ITW colleagues around the world for their exceptional performance and dedication in the face of the most challenging and unprecedented circumstances of the past year. The performance that they delivered in 2020 provides another proof point that ITW as a company that has the enduring competitive advantages, resilience and agility necessary to deliver consistent top tier performance in any environment. Like many of you, I'm sure we are hopeful for a return to somewhere in the vicinity of normal at some point in 2021 and with that getting back to giving our full attention to taking ITW all the way for the company's full potential. Between now and whenever that is, we will continue to leverage the full breadth of ITW's capabilities and competitive advantages to keep our people safe, continue to serve our customers with excellence and execute our long-term enterprise strategy. Michael, over to you.
Michael Larsen: Thank you, Scott, and good morning, everyone. Please turn to Slide 4. In the fourth quarter, we continue to see solid recovery progress in many of the end markets that we serve as evidenced by our revenue being up sequentially 5% versus the third quarter. The increase is 8% when you adjust for equal number of days when historically our revenue per day has increased by 1% from Q3 to Q4. Overall, we delivered revenue of $3.5 billion, operating income of $883 million, an increase of 7% year-over-year, operating margin of 24.4%, free cash flow of $705 million, and GAAP EPS of $2.02. After-tax return on invested capital improved to 32%. And as Scott mentioned, operating income, operating margin and after-tax ROIC were fourth quarter records for the company. Revenue in all major geographies improved sequentially. On a year-over-year basis, North America organic revenue declined 3%, International revenue grew 1%, Europe was down 2%. Similar to Q3, China was the bright spot with 11% growth. As we've talked about before, the operating flexibility that is core to our 80/20 Front-to-Back operating system also applies to the cost structure, which was on full display through our operating margin performance in Q4. We improved operating margin by 170 basis points to 25.4%, the second-highest margin rate in a quarter in the history of the company. And like I say, grew operating income 7% to $883 million, the highest fourth quarter ever. The biggest driver of our margin improvement remains our enterprise initiatives, as the ITW team executed on projects and activities that contributed 130 basis points in Q4. The impact was broad-based with all segments delivering enterprise initiatives benefits in the range of 80 to 170 basis points. GAAP EPS was $2.02, up 2%, but keep in mind, the Q4 last year had $0.11of one-time gains from divestitures. If you exclude those gains, EPS was up 7%, the same as operating income. Working capital performance was excellent and free cash flow of $705 million was solid with a conversion rate of 110% of net income. Finally, the effective tax rate was 22.1%, down slightly from last year. In summary, a strong finish to a challenging year and very good momentum as we head into 2021. Let's move to Slide 5 to review fourth quarter's recovery and response by segment. We updated this slide from our last earnings call with Q4 information and you can see that our segments continue to respond effectively to the increase in demand recovery and improved sequentially on both revenue and operating margin. I would just highlight a few things to illustrate the resilience and adaptability of our businesses. You can see the rapid recovery in our end markets, relative to the Q2 bottom, but down 27%. In Q4, three of our segments experienced demand levels that were higher than a year ago. The most pronounced recovery has been in automotive OEM, which is more than doubled since Q2 and grew 8% year-over-year in Q4, as did construction products. Polymers and Fluids grew 7% while demand in three segments, Test & Measurement and electronics, welding and specialty products was only slightly lower year-over-year. As you would expect food equipment continues to be impacted by the effects of the pandemic, although we are seeing some sequential improvement. Overall, you can see the benefit of having a high quality diversified portfolio and the fact that we're back to demand levels of a year ago with total revenue essentially flat year-over-year despite one of our core segments being down organically by 19%. On the right side of the page, you can see the operating flexibility that I just talked about and how to also apply to our cost structure and ultimately shows up in our operating margin performance. At the bottom, in Q2, we still delivered solid operating margins of 17.5% and only two segments were below 20%. In Q4, were almost 800 basis points higher at 25.4% despite no volume growth year-over-year and every segment is back about 22% including Food Equipment and six out of seven segments achieved record fourth quarter operating margins. Let's move on to Slide 6 for a closer look at individual segment performance, starting with automotive OEM. The team has continued to execute exceptionally well from a quality and delivery standpoint in responding to customer demand levels that have more than doubled since Q2. In Q4, organic growth of 8% year-over-year was the highest growth rate since the first quarter of 2017. While North America was flat in Q2, it was more than offset by strong demand in Europe, which grew 10% and China, which grew 20%. As expected, food equipment end markets remained challenged in Q4, organic revenue was down 19%, a little better than the third quarter, and demand in Q4 was similar to Q3 when you look at it by geography and the end markets. North America was down 20%, international down 18%, equipment sales were down 20% and service was down 18%. Institutional demand was down about 30% with restaurants down a little bit more than that. And not surprisingly, the bright spot throughout the year, continue to be retail with organic growth of 8%. Moving to Slide 7 for Test & Measurement and Electronics. Q4 organic revenue declined 3% with Test & Measurement down 8% against the tough comparison of plus 6% in Q4 '19. Electronics was up 3% and while demand for capital equipment remains sluggish, the segment benefited from considerable strength in several end-markets, including semiconductor, healthcare and clean room. As you may have seen on January 19, we announced that we had entered into an agreement with Amphenol to acquire MTS's Test & Simulation Business. The Test & Simulation Business is very complementary to our Instron business, which we highlighted during our 2018 Investor Day and some of you may have visited our facility outside of Boston. MTS's Test & Simulation business has similar organic growth potential and there is substantial opportunity for margin improvement through the application of the ITW business model. Pre-COVID revenues in fiscal year 2019 were $559 million with operating margin of 6%. We expect to get the business to generate ITW caliber operating margins by the end of year five and generate after-tax ROIC in the high teens by the end of year 10. As you saw in the announcement, we expect the acquisition to close in the middle of 2021 and we're very much looking forward to welcoming the MTS Test & Simulation team to the ITW family. Moving on, please turn to Slide 8. In welding, where we saw a meaningful pickup in demand as organic revenue improved from being down 10% year-over-year in Q3 to only being down 2% in Q4. Our commercial business which primarily serves smaller businesses and individual users and accounts for 35% of the revenue in this segment remained strong and grew 12% year-over-year. Our Industrial business showed signs of strong recovery from being down 23% in Q3 to down only 5% in Q4 as customer activity and equipment orders gained strength. Overall organic revenue food equipment was flat versus prior year and much improved versus a 10% decline in the third quarter. Polymers & Fluids delivered strong organic growth of 7% with fluids up 16% with continued strong demand in end-markets related to healthcare and hygiene. The automotive aftermarket business benefited from strong retail sales with organic growth of 5% and polymers grew 4% with solid demand for MRO and automotive applications. Moving to Slide 9. Construction continues to benefit from strong demand in the home center channel and delivered organic growth of 8% in Q4. Growth was strong across all geographies with North America up 10%, double-digit growth in the residential renovation market offset by commercial construction, which represents only about 15% of North America revenue down 11%. Europe grew 9% and Australia/New Zealand grew 5% due to strong retail sales. Specialty organic revenue was down 3% this quarter with North America down 2% and international revenue down 4%. Demand for consumer packaging remains solid, but it was offset by lower demand in the capital equipment businesses. So that concludes the segment commentary and let's move on to the full year 2020 summer results in Slide 10. And in the face of unprecedented challenges that included temporary customer shutdowns across wide swaths of our end markets during the year, organic revenue was down 10%. Still we delivered operating income of $2.9 billion and highly resilient operating margin of 22.9%, only down 120 basis points year-over-year despite no major cost takeout initiatives on mandates, and with the strong contribution of 120 basis points from our Enterprise Initiatives. After-tax ROIC was 26.2% and free cash flow was $2.6 billion. Throughout the pandemic, one of our priorities was to maintain our financial strength, liquidity, and strategic optionality, and as you can see, we did just that in 2020. ITW's balance sheet is strong and we have ample liquidity. We did not have a need to issue any debt or commercial paper in 2020 and we ended the year with total debt to EBITDA leverage of 2.5 times, which is only slightly above our 2.25 times target. At year-end, we had approximately $2.6 billion of cash and cash equivalents on hand. With 2020 behind us, let's move to Slide 11 for a discussion of our guidance for 2021. So starting with the caveat that we continue to operate in a fairly uncertain economic environment, we have based our guidance as we always do on the current levels of demand in our businesses. Per our usual process, we are projecting current levels of demand into the future and adjusting them for typical seasonality. The outcome of that exercise is a forecast of solid broad-based organic growth of 7% to 10% at the enterprise level. Foreign currency at today's exchange rates is favorable and has 2 percentage points revenue for total revenue growth forecast of 9% to 12%. At our typical incremental margins of 35% to 40%, we expect GAAP EPS in the range of $7.60 to $8 a share, up 18% at the midpoint. We're forecasting operating margin in the range of 24% to 25%, which is an improvement of more than 150 basis points year-over-year at the midpoint. Enterprise Initiatives are a key driver of operating margin expansion in 2021, as are expected to contribute approximately 100 basis points. Restructuring and price costs are expected to be approximately margin neutral year-over-year. We're closely monitoring the raw material cost environment and embedded in our 2021 guidance are the known raw material cost increases in commodities such as steel, resins and chemicals. Given the differentiated nature of our product offerings across the company, we expect to be able to offset the impact of any incremental raw material cost increases that might arise in 2021 with pricing actions on a dollar for dollar basis. We expect strong free cash flow in 2021 with a conversion rate greater than 100% of net income. I wanted to provide a brief update on our capital allocation plans for 2021. Top priority remains internal investments to support our organic growth efforts and sustain our core businesses. Second, we recognize the importance of an attractive dividend to our long-term shareholders and we view the dividend as a critical component of ITW's total shareholder return model. Third priority, our selective high-quality acquisitions to supplement our portfolio and reinforce or further enhance ITW's long-term organic growth potential. I should point out that the guidance we're providing today is for the core business only. After the MTS Test & Simulation acquisition closes, we'll provide you with an update, but we do not expect a material impact in 2021. In line with our capital allocation, we returned surplus capital to shareholders and we are reinstating share repurchases with a plan to invest approximately $1 billion in 2021. We expect our tax rate for the year to be in the range of 23% to 24%. Finally, when it comes to portfolio management, we have decided to defer any divestiture activity until next year. And instead, focus on our time and efforts on the recovery in 2021. While our view regarding the long-term strategic fit of the remaining divestitures hasn't changed, we also believe that given their expected performance this year, they will be more valuable in 2022. Let's turn to Slide 12 and the forecast for organic growth by segment. With the caveat again and the environment remains fairly uncertain, we are providing an organic growth outlook for each segment and based on current levels of demand, we are forecasting solid broad-based growth as every segment is expected to improve their organic growth rate in 2021. At the enterprise level, it all adds up to solid organic growth of 7% to 10%. To wrap it all up, ITW finished a challenging year strong, as we continue to fully leverage the capabilities and competitive advantages that we've built over the past eight years through the execution of our enterprise strategy. Our strong operational and financial performance in 2020 provided further evidence that ITW is a company that has both the enduring competitive advantages and resilience necessary to deliver consistent upper-tier performance in any environment. Looking ahead to 2021, we have good momentum from Q4 heading into the year and our solid guidance reflects the fact that we remain focused on delivering strong results while continuing to execute on our long-term strategy to achieve and sustain ITW's full potential performance. With that Karen, I'll turn it back to you.
Karen Fletcher: Okay. Thank you, Michael. And Julianne, let's open up the lines for questions, please.
Operator: [Operator Instructions] Your first question comes from Andrew Kaplowitz from Citi. Please go ahead, your line is open.
Andrew Kaplowitz: Good execution as usual. So it's been a couple of years now since your last Analyst Day, so maybe you could update us and you are in terms of the goal of finishing the job related to enterprise strategy. It seems like your performance in the second half of '20 and the 7% to 10% growth guidance you've got for '21 is reflecting full organic growth potential versus your end markets. But maybe give us some color around that and how you're thinking about enterprise strategy coming out of the pandemic? Do you still see 100 basis points of margin improvement per year through at least 2023?
Scott Santi: Well, I'd say a couple of things, Andy. First of all, this has been a process throughout the entire journey where the sort of further we go with that, the more opportunity we find to continue to improve. And I think one of the remarkable things from our perspective is eight years into this, I don't see that slowing up any. And so we are focused on continuing to move forward to get better every year, get a little bit better this year than we were last year. Within the framework of this, the strategy that we've laid out and I think there remains ample room to continue on that path for a number of years. We also have some performance goals out there. You're right, it's been a couple of years, but two years ago, it's when we update those goals, and we remain absolutely on track and committed to delivering on those goals. And as we get closer to that, we'll figure out what the next step is - steps are.
Andrew Kaplowitz: Thanks for that, Scott. And then is it right to think that generally, you should see more margin improvement from the segment with the largest growth projections for '21? And could you give us, I know you talked, Michael, I know you talked about price versus cost, you sometimes have sort of these lags in some of the segments like auto OEM, do we get concerned about that at all? And any other color on [prices cost] [ph] you could give us?
Michael Larsen: Well, I'd say, Andy, we - based on our bottoms-up planning process, we expect every segment to improve on their margin performance in 2021, as Scott said, a little bit better every year as we march towards our full potential. I think one of the remarkable things, when you look at the margin performance by segment is how the range has narrowed and we're - as we sit here today, the low-end is food equipment at 22% and the high-end is welding at 29%, very different range from when we started this strategy eight years ago. And I think the fact that we have businesses, delivery margins in the high 20s just gives us further confidence in the long-term goals that we've laid out for the company. So the big driver in 2021 remains Enterprise Initiatives. Those are broad-based in every segment will make progress on 80/20 and Strategic Sourcing, and certainly, we expect that also a meaningful contribution from volume leverage as we go through the year here. But I wouldn't single any segment out as having more margin improvement potential than others. I think we expect all of our segments to continue to make progress towards their full potential.
Andrew Kaplowitz: Appreciate it, guys.
Michael Larsen: Yes, Andy, and I can give you a little bit on price costs. So certainly, like I said, we are closely monitoring the raw material cost environment, we are seeing inflationary pressures in commodities such as steel, resins, certain chemicals, by segments, automotive, construction, and polymers and fluids is probably where we're seeing the more significant increases. In all of our segments, the plan is to offset those cost increases, the ones that we know about and the ones that may arise this year with price on a dollar for dollar basis. As you know, in automotive, just given the nature of the industry that is a process that takes a little bit longer, but we're confident that over time, we're going to be able to offset any raw material cost increases with price, just given the differentiated nature of our product offerings in each one of these segments, so.
Operator: Your next question comes from Nicole DeBlase from Deutsche Bank. Please go ahead, your line is open.
Nicole DeBlase: Can we just start with the outlook for auto OEM? When you think about the 14% to 18% that you forecasted for 2021, how does that look in the context of some of these semiconductor supply chain issues that we're seeing? And I guess are some of those hiccups embedded in your outlook? And with that said, if you could talk maybe a little bit about the potential quarterly cadence for the auto business, I know you guys don't give quarterly guidance, but in this case, it could be kind of a weird year.
Michael Larsen: Yes. So thank you, Nicole. I...
Scott Santi: I can tell you one thing on the quarterly cadence that Q2 is going to be a lot better this year than with last year. That's the one thing I know for sure. I agree with that.
Michael Larsen: So just on the - there's a lot of talk about the shortage of semiconductor in the automotive OEM space. What I can tell you is, and this is true across all of our businesses, we've not seen a slowdown in demand and strong momentum going into the year, certainly carried through January. It is possible, though, that we may see some production slowdown here in Q1 at some of our customers, whether that will impact the demand, their demand for our products, I think remains to be seen. We view this right now as more of a timing issue and so certainly, this could put a little bit of pressure on the auto business here in the first quarter. But as we sit here today, we would assume that we're going to catch that up in Q2 or the second half of the year. In terms of the quarterly cadence for the auto business. I think you saw the strong performance here in the fourth quarter, up 8%. Like I said, we've not seen anything to suggest that that demand is slowing down while we're looking at the January results. So we expect, given how we've planned the business to be off to a pretty good start with positive organic growth and margin improvement in the first quarter that typically sequentially that builds as we go through the year. Q2 will be, as Scott said, the biggest quarter and the second half, the comps start to get a little bit more challenging, the build numbers are a little bit different but that's probably as much as I can give you on the automotive business and kind of how this might play out by quarter.
Nicole DeBlase: No, thanks. That was actually super helpful. Maybe just as a quick follow-up, when you think about the guidance that you put together for just the full company organic growth in 2021, thinking back to last year when you guys were really talking about opportunities to outgrow as we move into recovery mode, have you factored in some of that margin improvement into - sorry, market and market share improvement over peers into the 2021 guidance?
Scott Santi: Well, I - the only way that it's - that's factored in at this point is, it's embedded in the impact of those efforts have already made in our current run rates. So we are not baking in any further acceleration, it doesn't mean that we don't have a lot of intention around continuing to as we've talked about before, be aggressive as the recovery continues to accelerate, but from the standpoint of our normal planning practice, we are - what's embedded in our organic growth forecast is exactly what Michael said earlier, the current run rates - daily run rates projected through full-year 2021 with whatever the normal sort of seasonal impacts are quarter-by-quarter.
Operator: Your next question comes from Jeff Sprague from Vertical Research. Please go ahead, your line is open.
Jeff Sprague: Two questions. One, kind of following up on that last thread, fully understand your methodologies here kind of this rolling forward current trajectory. But when you look at the segments, are there one or two kind of either way positive or negative that, I know your astute business sense and long history with these businesses would suggest are likely to be potentially better or worse than kind of the exit rate here as we exit 2020?
Michael Larsen A - Michael Larsen: Well, I'm trying to think about that question. The obvious one to point to is food equipment that depending on sort of pace of vaccine penetration and recovery. That's obviously, where even at that 8% to 12% growth rate for the year, we're well below 2019 levels of demand let alone incremental growth opportunities we have. So that from the standpoint of the one with the most outside leverage that's clearly the case. I don't know that there is anything else that I would say would really stand out, I think the capital equipment business, as you would expect, so welding and test and measurement, that as businesses get more comfortable with both the pace and trajectory and sustainability of the recovery that their comfort level with investment would - and our confidence in the future would certainly stimulate more, perhaps more demand in those sectors, maybe as I think about your question, but I think that would be the two areas that, should things continue on in the positive direction, they are the significant benefit from continued broad-based - the broad-based momentum that we're seeing.
Jeff Sprague: And also thinking about kind of cyclical versus structural growth, Scott. Right. So the effort to kind of pivot the businesses, the whole ready to grow, but not growing, and the ones that we're outgrowing, do you think there will be measurable outgrowth across most of the portfolio? So like you said, we don't know quite what the world is going to hand us in 2021, but I just wonder your confidence and visibility on our growth, you mentioned new products and food equipment for example, I'm sure there are things in other segments. Maybe you could just provide a little additional color there.
Scott Santi: Yes, I think that's where the proof is got to be in the project and that's what we've been working on. And so I, certainly in 2020 and '21, I think to try to get any sense of sort of what the market baselines are given the - just the overall volatility in all the, let's say the corresponding supply chain impacts on demand and inventory levels and all that stuff, it's really, it's almost possible to tell, but I would absolutely expect that our ability to stay focused and aggressive on the growth agenda through all of this, I won't say a better payoff but I'd say it's payoff is what we're all about. That's what we've been doing all this stuff for. So I won't tell you that every one of our 83 divisions are all the way there, but I guarantee you that I can say that 90% of them are in great position, are doing all the right things, have stayed focused and have stayed aggressive through this, we're not in that, we're not using the ready to grow and not growing categories anymore. I'll put it that way. It's - I think we're well past that point.
Operator: Your next question comes from Ann Duignan from JPMorgan. Please go ahead, your line is open.
Ann Duignan: Maybe you could talk a little bit about your outlook for construction products that might have expected organic growth to have been up a little bit more in 2021 but perhaps it's just on the back of strong renovation in 2020, but just some color there in terms of regional and sub-sectors, that would be helpful.
Scott Santi: That's exactly what I told our EVP, Ann. Just so you know. So what I'd tell you, Ann is that obviously, a strong year for the construction business and finishing Q4, up 8% on a year-over-year basis, a lot of strength in the home centers that we've talked about really since the beginning of the pandemic, and we expect that to be just given the comps that the growth in the home centers would be in the low single-digits. We - there are some encouraging signs around housing starts. And then we have a great portfolio of highly differentiated products. So you put all of that together, I think our view is we should be able to grow in the mid to high single-digits here in 2021. And as I said, we're off to a good start here in January, so.
Ann Duignan: And any differentiation regionally that you'd like to comment on?
Michael Larsen: No, I think it's pretty - I think the comps are a little bit easier in Europe, maybe in North America but we, really on a global basis, we had a good year. But, so that's really all that I would point to.
Ann Duignan: Okay. And then as my follow-up perhaps, similar question on welding, just different customer bases and maybe different regions, what you’re seeing - I will hand it over.
Michael Larsen: Yes. So I think welding, strong finish to the year good momentum going into 2021 and I'd say a pretty solid outlook for all end markets, maybe with the exception of the oil and gas piece, which is somewhere in the 15% to 20%, it's probably closer to 15% of total revenues that is expected to remain soft as we go through the year. But the commercial business has been strong all year and no signs of that slowing down the industrial side. So this is what Scott talked about with CapEx may be picking up as this recovery path is a little clearer. We're expecting a solid year in the welding business with again continued progress on the margin side, despite the fact that they put up almost 29% here in the fourth quarter.
Operator: And your next question comes from John Inch from Gordon Haskett. Please go ahead, your line is open.
John Inch: Picking up on a couple of the themes of the past few questions. Do any of the businesses, Scott and Michael, stand out based on call it internal changes, they may have pursued in 2020 that position them in your minds really favorably for 2021 and this could be everything from, I don't know, like acceleration of enterprise initiatives, new products line up that they've got ready to kind of tee up here, maybe new customer sort of supply line or existing new customer channel initiatives or anything like that that you might call out?
Scott Santi: Yes, I can't really think of anything, particularly given the environment we're in, other than point to what we've been talking about throughout, which is we stayed focused on implementing those, the relevant changes, strategic changes business by business along the lines of what you're talking about throughout this entire - throughout the entirety of 2020. So I think if anything, the most significant part of what we accomplished in '20 is we stayed ready, we stayed prepared, we stayed in position and we kept moving the ball. And so I don't know that there is any big shifts that I can point to as much as the fact that we stayed in there and kept moving forward while dealing with the pretty unusual set of near-term circumstances and I expect that that will pay significant dividends, particularly if the rate of recovery continues on as we're seeing right now.
John Inch: Well, Scott, how significant as we think in the next couple of years in recovery, are new products or the introduction of new products going to play in terms of the drive to faster growth? Like was this an opportunity? I mean we don't have a view inside the company, right? So, was this an opportunity for yes to do realignment cost-cutting and so forth up to the centralized level, but for the folks to basically say, you know what, let's push on this initiative for that initiative or launch that as part of kind of your overall emphasis to take share which was stated kind of going on?
Scott Santi: Yes, relative. New products are core - it's a core I want to - of our business model, customer back innovation we have been - there has been no change in terms of the central nature of that as our strategy. We're banging out a couple of thousand patents a year. Year in, year out, that certainly continued on in 2020 as it always has. So I don't know that there has been any inflection or change in terms of our posture there. It is, in my view, it's the only way we outgrow our markets over the long haul. We're going to get some penetration from our service capabilities from our ability to attract new customers, but in the end, innovation, new products, new technologies, or existing products is the key and core driver ultimately of our, I believe they outgrow our markets consistently over time. That's not a new concept here.
Michael Larsen: And I would just add financially speaking, John, our internal investments, new product, our top priority from a capital allocation standpoint, then if you look at our new product investment in 2020, it was the same number as in 2019 as we stayed invested in these projects and strategies to drive above market organic growth. Historically, we've achieved about a percentage point of organic growth every year for new products and that's kind of we're counting on in every segment as we move forward.
John Inch: Makes sense. If I could just sneak in one more. You return to M&A, the two obvious challenging verticals have been commercial aerospace, and oil and gas. Are there, like - are you guys perhaps thinking you guys are contrarian thinkers? Are these possibly going to present opportunities for M&A? Like would you consider an aerospace deal? And in terms of oil and gas, would that be off-limits just because of ESG considerations, which you obviously don't have today?
Scott Santi: Yes. I just go back to our, basically two criteria. One is that we - It has to - we have to - if we're going to make that kind of an investment in terms of not just to our capital, but our time, effort and energy, it has to be in something that we have a lot of conviction about that can support or further accelerate the company's long-term growth potential. And we have to also have significant potential for margin improvement from 80/20. If you look at MTS and that absolutely checks both of those boxes. So I don't - we don't have anything that in my view as off-limits, if those criteria are met and I'll just leave it at that. I am not good at that, but I will also say, as more we’re leaning in super harder on one particular sector or another. I think as we've talked about before, we have demonstrated ability to perform and execute across seven businesses today. So ultimately, it's much more a function of the individual characteristics of the asset that we're talking about than it is any sort of outside-in view of, we want to - we need to get growth year or play for a certain theory about long-term end-market growth.
Operator: Your next question comes from Jamie Cook from Credit Suisse. Please go ahead, your line is open.
Jamie Cook: I guess just two follow-ups. One, I know you talked about sort of supply chain and as it relates to the automotive sector. I guess one, do you have anything in your guidance embedded for supply chain, potentially higher freight costs or whatever that's - you're managing for? And I guess my second question, when you first laid out your strategy in 2020 to go after market share during COVID, you talked about potentially your competitors having issue, there is demand, ramps or even managing through the downturn. Can you talk about whether some of the supply chain issues are impacting your competitors and whether it's sort of in line with what you thought greater than what you would thought? I'm just trying to size that potential opportunity. Thank you.
Michael Larsen: Yes, so, Jamie, on your first question, we are seeing an increase in freight cost. It is not one of the largest, categories when we look at where we're seeing cost pressure, but it is any known increases in terms of freight and logistics are embedded in our plan, in our guidance here today. I think in terms of market share, as a result of being able to maintain delivery and quality, if we were to talk to our segments, they would all be able to come up with lots of examples from their divisions where that is the case. And it's not just in one segment, it's really across the Board. We've been able to pick up share now. So I would just say, we're not doing this with the short-term focus that these have to be sustainable market share gains and they have to be at ITW caliber margins for us to be interested in pursuing them. So it's probably the best answer I can give you on that one.
Operator: Your next question comes from Julian Mitchell from Barclays. Please go ahead, your line is open.
Julian Mitchell: Maybe my first question really for Michael around the free cash flow outlook. CapEx was down substantially, I think almost 30% in 2020. What slope of recovery do we see there? And how much of a working capital headwind should we expect as well? I suppose the end-point here is to try and understand relative to that $2.6 billion of free cash last year, what the delta is this year in the context of the earnings guidance?
Michael Larsen: Yes so, Julian. You're right. Some of the capacity expansions that were planned for 2020 were obviously pushed out as a result of the global pandemic, not as a result of anybody at corporate saying you can't invest in your business. This was really our divisions deciding to defer these capacity expansions and as the recovery progresses, those - that CapEx spend will return to normal levels, which is the assumption that's embedded for 2021. We also had in our free cash flow forecast and assumption that we will build up some degree of inventory receivables, working capital to support almost double-digit growth across the enterprise. So we have about $125 million of working capital coming in and that is included in our numbers here and you put it all together, we expect to deliver another strong year from a cash flow perspective at 100% plus conversion from net income.
Julian Mitchell: And then maybe my follow-up on the uses of that good cash flow and the big cash balance at the end of December, maybe for Scott. I think Scott you've sounded somewhat reticent on M&A at the last earnings call. And then, today we see that buyback placeholder and heard Michael's comments around deferring divestments into 2022. So just wondered what your latest thoughts were on the M&A appetite if you are more or less optimistic on acquisitions today versus a few months ago.
Scott Santi: Yes. What we talked about last call was really around the fact that what we're interested in is quality assets that we can help good companies, so we can help become even better companies and the fact is that during times of maybe disruption that those good companies if we got inside of [indiscernible] time for them to sell their businesses. So the reticence was not from a financial perspective, it was just a statement of reality that the kind of assets that we are interested in acquiring are not available. We - our interest in adding quality assets to ITW that fit our strategy and that meet the criteria that I talked about that was in my response to an earlier question. That doesn't go up and down, that is always there. We have plenty of capacity whether we have cash on hand, whether we have - we need to use the balance sheet, that's just a timing issue. Yeah, we have so much cash. We have the ability to improve these assets we buy, we generate great returns, it's just a matter of the - we're also very disciplined. So we find - we come across an opportunity that we think fits, it's not a situation on what - is it the right time or not, it's at the ample capacity to do it. So we're going to just low our standards because we have been sitting on some cash right now. I think that's the best way I can characterize it. MTS is a compelling hit, it has characteristics that are very similar to our Instron business that we bought back in 2005, entry margins are roughly the same, I think it's around to a couple of points higher, similar end market characteristics, it's a terrific fit that it wouldn't matter what time - what year - where we were in the cycle or what time of year it was, we have another MTS like opportunity, we will take full advantage, do our best to take full advantage of it and that's the best way I can I think say.
Michael Larsen: And maybe I'll just clarify something, Julian. I mean I think given our track record here as we just talked about in terms of consistently generating strong free cash flow given the strong balance sheet, I don't want you to interpret the fact that the buybacks are coming back, as we don't have capacity to do M&A, because that is certainly not the case. I mean we have ample liquidity as Scott said if the right opportunity comes along, we're going to be certainly looking closely at things. So I wouldn't read anything into buybacks coming back. We are in the fortunate position where - when I talked about the four priorities from a capital allocation standpoint, for us, it's not A, B, C or D, it's really, we can do all of the above. We have the capacity, the financial strength, the balance sheet to do all of the above.
Operator: Your next question comes from David Raso from Evercore. Please go ahead, your line is open.
David Raso: You mentioned on normalized cost, you'd match the higher cost dollar for dollar, just obviously price, people and cost is not helpful to the margin. So when I think at the full-year guide, the revenue guide, the organic is to 8.5. How much of that is actually coming through with your margin, meaning what percent of the 8.5 prices is simply priced being naked at by cost?
Scott Santi: Well, so we don't really look at it that way, David. So let me try to answer your question, maybe a little bit differently. So I think what I heard you say is we will offset any material cost increases with price on a dollar for dollar basis.
Michael Larsen: And then I think add a clarification. That means an incremental from here. That doesn't mean necessarily in our plan.
Scott Santi: Correct. Yes.
Scott Santi: That's what we have. That's where you're going with.
Scott Santi: So that's where I was going. So any incremental cost increases that we may see as we go through the year will be offset with price dollar for dollar. Obviously...
Michael Larsen: And that really reflects the timing front?
Scott Santi: Yes.
Michael Larsen: That's the problem with delay.
Scott Santi: In the long term, we will. Yeah. We will catch up and we typically get more than that. I think what you're talking about is that in the - if that does mean if you do the math, which I'm sure you've done that can be slightly dilutive to operating margins as we go through the year, but that's not what's in our planning today and our plan today is we are positive price ahead of cost and any cost increases that are coming through will be offset dollar for dollar, that can be a slight lag. We talked a lot about some of the challenges in automotive, so that's probably the best I can answer your question.
David Raso: Now just well, the incrementals are still impressive at 40% and I was just - that's in the guide and I was just curious, are they even higher than that in a way or in a core fashion? Because say 2% of the revenue growth was coming in it at no incremental rate coming at a price versus cost. But overall you're saying add it all up, we're still getting 40% incrementals, if cost go up from here, yes, that might be a bit dilutive on the margin. Just given there might be just pricing cost. That's all I was trying to get at. I mean the 40% is still very. Just trying to get - underlying.
Scott Santi: That's correct, yeah.
David Raso: And when it comes to the M&A pipeline, I mean, obviously, all the facts that are out there and the money in Washington private equity, the MTS business that you bought, somewhat you found something that fits well obviously the margins aren't tremendous but, I think you've probably got it at one time or less, the sales, are you finding with all the facts out there and so forth that you can still find businesses like this that are maybe a little off the radar or it's just going to be a little more challenging to put the money to work. Just give them maybe people are bidding up assets otherwise want to just give in.
Scott Santi: Yes, I think it's not a matter of finding things that are off the radar. The ultimate advantage we have even in a competitive market is the margin improvement potential, so that our ability to pay whatever the multiple is, there are certainly our financial modeling. I'm not suggesting we can pay any multiple but certainly, our ability to pay market multiple and then triple or quadruple the underlying earnings and knowing that we can do that with a high degree of certainty over some period of time is ultimately what allows us to be competitive. So that's, why we've said all along is we're not going to pay for a full - buying or acquiring a fully margin business is not interesting for us because it takes that competitive advantage off the table and from a return standpoint, it makes it all about where you right about the growth rate, 10 years out, which is a pretty challenging thing to get right. So we can compete in the right circumstance and we just proved it. I think.
David Raso: I'm sorry. Please.
Scott Santi: No, you go ahead, please.
David Raso: Well, just seeing for MTS, and I know it's kind of a framework for hopefully future deals you can do, when you think some amortization of the intangibles that are coming in that 6% margin of MTS with a 19. So we think the margin might have been down in '20, what's the level set for us when we think of modeling that say from mid-year and on? What's the starting point for all in the margin amortization, the base we're coming off of and then the ramp to the 20% plus over five years? How much is there a step function in the first full year and then it's kind of, linear from that?
Scott Santi: So they didn't close on the deal first and they do all your accounting and when - and hopefully that'll be mid-year. And so when we get on the earnings call, hopefully for Q2 will be able to give you a lot more detail in terms of the questions that you're asking. Our current view based on what we are - what we have modeled is that there is not going to be a material impact in year one, and then the implementation of the business model takes some time. We didn't buy the business obviously for the potential year one. This is a long-term investment and one we are very pleased with and we see a clear path to get it to ITW caliber margins and returns over the timeframe that we discussed. So, but if you could wait until we get the deal closed and we'll provide all the detail here.
Michael Larsen: I'll help you with this part, if you want me, which is just figure the margin is steady sequential improvement year-on-year, just like we run the company. There is no big step change. And so the path from 6% or whatever the starting point is to the ITW average is side by side. It’s just a better model than some hockey stick in the early period, if that helps.
Operator: Your next question comes from Stephen Volkmann from Jefferies. Please go ahead, your line is open.
Stephen Volkmann: Great, thanks for fitting me in. I'll be real quick, Scott, if you gave us a couple of quarters ago a number that you thought you had won some new contracts because of your win with downturns kind of strategy. Any update to that kind of for the full-year 2020?
Scott Santi: Yes, I'll go back to what Michael said that at that point we can count on because that was we've just started, we are a couple of weeks into and there were some obviously visible specific opportunities that we were aware of, at this point, it's far too broad base, it's not something that we're sort of tracking across the company necessarily.
Stephen Volkmann: Okay, all right, fair enough. And then...
Scott Santi: Nor should we given the volume, yeah.
Stephen Volkmann: Understood. And then Mike, I think you said PLS is 50 basis points of headwind in '21, isn't that kind of what we should consider sort of normal and the run rate for the foreseeable future?
Michael Larsen: Yes. I think like I would look at this, it has still potential, we had modeled 30 basis points as kind of the ongoing run rate, so you're pretty close here.
Stephen Volkmann: Okay, that's all I have.
Scott Santi: You're right. We modeled 50 here for 2021. That's correct.
Operator: Your next question comes from Ross Gilardi from Bank of America. Please go ahead, your line is open.
Ross Gilardi: Thanks for squeezing me in. Just on the EPS guide, I wanted to clarify why wouldn't the low end be $8 plus when you just turned over $2 in the fourth quarter, you're guiding to $9 to $12 revenue growth. There isn't a lot of seasonality in your business in a normal year. So why wouldn't $2 at a minimum being like an appropriate quarterly run rate? For EPS in the first half and if that's the case, are you taking in a meaningful second-half slowdown? I mean any help you can give us on how your guidance is - looks first half versus second half?
Scott Santi: Yes, so Ross, let me say, first I hope you're right. And second, I'll just go back to what I said in the prepared remarks, in response to one of the questions earlier is that how we have modeled the topline is really using current levels of demand in our - in what we're seeing in our businesses. We're projecting that into the year. If you go and look at kind of historically how a typical year unfolds at ITW in terms of the earnings in the first half versus the second half. It is remarkably consistent. So I think that's probably a good start to help you maybe understand a little bit better, how the things might unfold kind of first half, second half, but to be very clear, again, we are not taking into any of our guidance that demand is going to slow in the second half, we're also not taking in that demand is going to accelerate. So to the extent you have a more positive view in some of the segments, you can certainly model that and see what answer you get, but we are assuming that, like I said, the demand stays, revenue per day stays where it is, adjusted for seasonality projected into 2021.
Ross Gilardi: Which is on that, Mike. I mean, if you're saying you're just taking current demand, I mean it just gives us current $2 in the fourth quarter.
Michael Larsen: Yes, but you have to look at maybe, Ross we'll take this one offline and I can walk you through how the historical trends, okay.
Ross Gilardi: Okay.
Michael Larsen: I'm not sure how else to answer your question. So, and again, I'm not giving you quarterly guidance, we're giving you full year and I think there's enough information if you look at the historical trends to figure out how things might play out in a quarterly basis.
Operator: Your last question will come from Joe Ritchie from Goldman Sachs. Please go ahead, your line is open.
Joe Ritchie: Two quick ones from me and I know we'll get more details on MTS later, but just given the PLS is part of the framework and equation for you guys like it hasn't, we think about MTS is like revenue trajectory, will there be some PLFS you think at the beginning? And then growth from there, like how should we think about that?
Michael Larsen: Yes. Again, Joe, as I said earlier, we will provide more of the detailed update once the deal has been closed, but you should assume the PLS is a significant component of the overall ITW business model that we will be implementing, so.
Scott Santi: And it dampens every first couple of years.
Michael Larsen: It happens in the first, the way it's modeled in the first two to three years all the PLS gets done. And then from there are now, you should see the accelerated growth rate with a higher margin profile that we talked about earlier.
Joe Ritchie: And then maybe my last question, I might actually going to ask about it because I don't think I've ever asked the question on polymers and fluids on a conference call. But the growth rate has really picked up in the segment in the last couple of quarters, and obviously, you have a good outlook for 2021. Just maybe talk a little bit about how you feel about the - either new product introductions or sustainability about growth rate just given the segment has gone through several years of PLS and then it seems like it's now a turning growth.
Michael Larsen: Yes, I think you're right, I mean, we've done a lot of - team's done a lot of PLS over the years, a big focus on organic growth, we continue to see certainly good progress in terms of new products. I talked earlier about on average at the company level, we get a percentage point from customer back innovation, we're actually getting rate that's doubled at in polymers and fluids, so certainly the team has executed well on the organic growth framework and made progress on strategic sales excellence. And I think it certainly helped that some of the end markets were quite favorable in Q4, and the outlook for '21 is pretty good in areas such as health and hygiene. We are seeing a recovery in MRO applications and the retail side related to automotive aftermarket has been solid too, so I will pass on your comments to the polymers and fluids team.
Joe Ritchie: Okay, great. Thank you.
Scott Santi: I'll be throughout, if they got a question.
Karen Fletcher: Okay. I think we are out of time. So I'll just say to everybody, thanks for joining us this morning. And if you have any follow-up, just give me a call. Thank you.
Operator: Thank you for participating in today's conference call. All lines may disconnect at this time.